Operator: Greetings and welcome to Chegg Inc First Quarter 2022 Earnings Conference Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Tracey Ford, Vice President of Investor Relations at NESG [ph]. Please go ahead.
Tracey Ford: Good afternoon. Thank you for joining Chegg's First Quarter 2022 Conference Call. On today's call are Dan Rosensweig, Co-Chairperson and CEO; and Andy Brown, Chief Financial Officer. A copy of our earnings press release, along with our investor presentation, is available on our Investor Relations website, investor.chegg.com. A replay of this call will also be available on our website. We routinely post information on our website and intend to make important announcements on our media center website at chegg.com/mediacenter. We encourage you to make use of these resources. Before we begin, I would like to point out that during the course of this call, we will make forward-looking statements regarding future events, including the future financial and operating performance of the company. These forward-looking statements are subject to material risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. We caution you to consider the important factors that could cause actual results to differ materially from those in the forward-looking statements. In particular, we refer you to the cautionary language included in today's earnings release and the risk factors described in Chegg's annual report on Form 10-K filed with the Securities and Exchange Commission on February 22, 2022, as well as our other filings with the SEC. Any forward-looking statements that we make today are based on assumptions that we believe to be reasonable as of this date. We undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. Our GAAP results and GAAP to non-GAAP reconciliations can be found in our earnings press release and the investor slide deck on our IR website, investor.chegg.com. We also recommend you to review the investor data sheet, which is also posted on our IR website. Now I will turn the call over to Dan.
Dan Rosensweig: Thank you, Tracey, and welcome, everyone, to our Q1 2022 earnings call. We started the year with a solid quarter. Chegg Services grew 14% year-over-year with 5.4 million subscribers. In addition, we are announcing a new partnership with an independent book reseller, enabling us to continue to offer print and eTextbooks to students, while our partner handles inventory and fulfillment. We expect this deal to improve our margins and growth rates over time. As noted in our fourth quarter call, we entered the year with momentum. However, this trend has not continued at the level we expected. The issues of enrollment, the economy and now inflation have all impacted our industry. Students continue to take fewer classes, and those they do take are often less rigorous with fewer or more limited assignments. With higher wages and increased cost of living, more people are shifting their priorities towards earning over learning, resulting in lower course load or delaying enrollment in schools at this time. In the U.S. alone, we have seen approximately 1 million students forgo or postpone higher education over the last two years. The impact of these factors is evident in the reduced traffic to higher education support services. This has made forecasting at this time challenging. And while we expect many of these trends to be temporary, we are reducing our guidance to better reflect the current market conditions, which Andy will walk you through. That being said, we are executing well against these current conditions, and indications are that we are outperforming our sector. With approximately 50% of the world's population under the age of 30 and technology impacting what we learn, how we learn, where we learn and when we learn, the global need for affordable, high-quality, dependable academic support and skills-based learning will only grow. Our goal during this time is to gain greater market share and invest in future growth. Students, who are using paid support services a semester, are overwhelmingly choosing Chegg. We are experiencing strong engagement, our highest take rate for the Chegg Study Pack, and outstanding retention rates. Along with the increased take rate for the Chegg Study Pack are continued efforts in the expansion, quality, discoverability and personalization of our content drove strong retention, which increased the ARPU of our business. These are powerful endorsements of the critical role Chegg plays in the lives of students. We remain bullish on the post-pandemic era, so we are staying focused on investments in our future, specifically international expansion, language learning, skills training and supplemental support services like soft skills and financial literacy. Our reach is expanding globally. And we are improving both our content library and technology platform to increase students' ability to discover our more than 100 million pieces of learning material, thereby improving student outcomes. Domestically, we continue to be focused on our key priorities, including the student-facing launch of Uversity this fall, which will increase the breadth and quality of our content, deepen our relationships with academic institutions and expand the number of students, who can learn from Chegg. To date, professors have uploaded over 140,000 approved pieces of instructional content and Uversity will soon be rolling out to faculty in the U.K. and Canada. Our international expansion continues to perform well, led by the adoption of Chegg Study and Chegg Study Pack and accelerated by the addition of Busuu. We continue to grow our subscribers and take market share, and we are now offering local content and user experiences in key markets. We are currently accepting local currencies in five countries and expect to expand to at least three new markets by the end of the year. In addition, we are price testing in eight countries to determine the optimal price-to-value equation, and we are excited to have recently launched our first fully localized app in Turkey. Our next localized app will be in Spanish and that will increase our TAM in both the U.S. and other key countries like Mexico as well as emerging Latin America markets. We are also building new B2B channels for both our skills and language services and are pleased with their early success. Busuu has direct relationships with over 500 companies. And our skills distribution partner, Guild, now reaches over 4 million frontline workers, which is an important channel for Chegg. We are proud to have graduated our first Guild cohorts from our new programs in technology fundamentals and advanced programs like cybersecurity. With recent research showing that 82% of global workers polled plan to train a new digital skill for the next five years, we believe these kinds of programs represent a major opportunity for Chegg. Beyond the academic and professional needs of students, there is an enormous opportunity to improve student lives beyond the classroom. 83% of U.S. students feel they need to learn more about money and finances and half are struggling with their mental health. Chegg is investing in serving these vital student needs and will continually work to support them beyond academics and skills. Given the current environment, we are very proud of how the Chegg team continues to execute. We will manage through the volatility and expect to return to higher and more predictable growth over time. Through all this, we will never lose sight of our mission to put students first around the world. And with that, I will turn it over to Andy.
Andy Brown: Thanks Dan and good afternoon everyone. Q1 was a solid quarter for Chegg with revenues coming in within the guidance range, while adjusted EBITDA continued to be strong and ahead of our expectations despite the volatility from the pandemic and unfavorable education industry trends. These conditions have made forecasting more challenging in the near-term, and as a result, we are reducing our full year expectations. I will walk you through our updated guidance shortly, along with the changes to required materials from our new partnerships. With that backdrop, let me walk you through the Q1 results. For Q1, total revenue grew to $202 million. This was driven by Chegg Services growth of 14% to $185 million as subscribers grew to 5.4 million during the quarter, which included approximately 600,000 subscribers from our newly acquired Busuu service. Gross margin came in slightly higher than expected as we continue to get benefits as we scale. All of this resulted in adjusted EBITDA margin of 31% or $62 million, exceeding our initial estimates even as we made significant investments for future growth. Looking at the balance sheet. We ended the quarter with $1.6 billion of cash and investments. During the quarter, we used $422 million to purchase Busuu and $300 million for our accelerated share repurchase, which was completed in April. We continue to believe the combination of our operating model, balance sheet and cash flows are among the strongest in the education industry and puts us in an ideal position to grow organically and should opportunities become available through acquisition. In early April, we entered into an agreement to sell our remaining textbook library and to offer both physical and digital textbooks through a partner, where we will receive a single-digit percentage commission. Being student-first, we have continued to offer textbooks even as it stopped contributing positively to our financials. This new relationship gives us the opportunity to continue to serve students and ultimately grow faster with higher margins. We have provided details in our earnings deck on the Investor Relations website regarding the transition, including the impact to both revenues and costs. Starting in 2023, we expect this partnership will contribute approximately $7 million to $10 million in annual revenue, which given its size, will be consolidated into Chegg Services revenue and as such, we will only report a single revenue line. Moving onto guidance, as we continue to navigate the evolving impacts of the economy and the pandemic, the historical patterns of our business, including seasonality and the intra-semester student behavior have changed. While these factors have made forecasting more complicated, we believe over time it will return to greater predictability. As a result, for 2022 we now expect total revenue to be between $740 and $770 million, with Chegg Services revenue between $710 and $740 million, gross margin between 73% and 74% and adjusted EBITDA between $220 million and $235 million, or 30% adjusted EBITDA margin. For Q2 we now expect total revenue to be between $188 million and $192 million, with Chegg Services revenue between $183 million and $187 million, gross margin between 76% and 77%, and adjusted EBITDA between $66 and $68 million. In closing, despite the turbulence in the industry we continue to invest prudently in growth such as international expansion, Uversity, personalization, expanding our non-academic and skills offerings, and language learning with Busuu, all while delivering best-in-class margins and generating significant cash flows. Along with the strength of our balance sheet, we believe this puts us in pole position when these industry headwinds subside. With that, I’ll turn the call over to the operator for your questions
Operator: Thank you very much. At this time, we will be conducting our question-and-answer session. [Operator Instructions] We have a first question from the line of Doug Anmuth with JPMorgan. Please go ahead.
Bryan Smilek: Hey, it's Bryan Smilek on for Doug. Thank you for taking my questions. Just two here. So how do you think about business specific levers that Chegg can pull to help fasten the pace of recovery? And how does this slow down compared to trends Chegg has seen during times of economic slowdown and inflation in the past? And then just finally, is the slow down more broad based across U.S. and international or is it outsized domestically? Thank you.
Dan Rosensweig: Yes, this is Dan. There have been challenges sort of globally for different reasons. Obviously the war has affected parts of Europe. And COVID, believe it or not, has affected parts of Asia. So, there are different variables there. There's just a lot of variables out of the control of companies right now. And from the U.S. perspective, the best thing to do inside the U.S. is to gain market share, which we believe we're doing to grow the international business faster, which we are investing in, the acceleration of our skills business. So we're investing in a lot of smart things that we think will return the company to much more significant growth as early as next year, but we just have to fight through the realities of all the variables that are affecting ours and other businesses. But in higher education, historically, I mean, look, we haven't seen this kind of inflation in a long time, it's hard to measure it versus anything that's happened in the past. But with wage inflation and people paying a lot for people to switch jobs quickly, or to work more hours versus going to school, you just see a lot of that portion of higher education leave and they will come back. They generally – education goes up during recessions and it goes down during strong economic markets. So this is a temporary situation in the U.S. We just have to fight through it. We're extraordinarily proud of the fact that we still expect to grow this year on the top line. We're profitable, we produce free cash flow. Our guidance, we just thought it was prudent to adjust it by 7%. And we just think that's a smarter decision at this point in time, given the fact that every time we turn around, there is a new variable out of our control. But the overall core business is growing, it's profitable, it produces free cash flow. We see great growth coming from outside the U.S. in the future. The addition of Busuu we're super excited about. And our Skills business is beginning to gain real traction with our partnership with Guild. So we have a lot to look forward to; just got to get through this moment in time.
Bryan Smilek: Thanks for taking my questions.
Dan Rosensweig: Yes.
Operator: Thank you. We have next question from the line Jeff Silber with BMO Capital Markets. Please go ahead.
Jeff Silber: Thanks so much. Forgive me; I'm just trying to get a better understanding of what's going on. So if I remember correctly on your October call, you talked about the issue of fewer students and less rigorous students. On the call in February most of that, at least the less rigorous parts seem to be behind you. And here we are, two months later and that’s back. What's changed to make this so volatile over the past six months or so and why do you think this is just a transitory issue?
Dan Rosensweig: Well, nobody wants to say transitory now that we've understood the way that the Fed talked about inflation. Look, what's changed is the things that we put in the prepared remarks, which is inflation has really roared at the same time that salary inflation has happened, which has taken a lot of people from the four-year schools, which people are not likely to graduate from anyway and are taking classes and community college students to choose to shift even more aggressively towards earning right now. And you really shouldn't blame them, right? It's a smart, prudent business decision for them at this moment, which is if their salaries are doubled and tripled, why not take that money and give more hours and take fewer classes or no classes, that is absolutely representative in every data point that you can find in the higher education market and the ones that we share today's examples. And you can look at all the higher education sites that students go to normally for help. We're actually gaining market share against them, but they are all down. These are sort of a macro situation. So what's changed is we did see a significant comeback as we got towards midterms and finals. And as we said in the prepared remarks, it didn't sustain itself. Meaning when we came back from the New Year, it originally started off very strong. And then you saw inflation come in. And then you saw wages even go up further. And you saw the demand of people trying to solve the supply chain issues. That's a large portion of Chegg’s audience. It's not all of our audience, obviously we're still growing. I mean, we did grow 14% in the first quarter of the year. So all is not lost. This is simply a moment in time that it's just some of the variables are out of our control and very volatile. Every industry has to something, whether it's China or supply chain or some other variable, these are ours.
Jeff Silber: Okay. That was really helpful. I really do appreciate that, Dan. And then as my follow-up question, if I look at your subscriber numbers, so if we take out the Busuu numbers, it looks like subscribers were flat on a year-over-year basis. Can we bifurcate that between the U.S. and international? I'm assuming international is growing and the U.S. is falling, is that correct? And is that something we should expect to continue? And when do you think U.S. subscriber growth will start again? Thanks.
Dan Rosensweig: Yes, I'll start it and let Andy finish, which is we sort of looked at it the other way, which is actually subscriber growth in Q1 is up over subscriber growth for Q4, not including Busuu. So, we see ourselves rather than at the moment, looking at the year-to-year comparisons because of both the COVID era, as well as these other variables that we're talking about, what we're trying to do is figure out where that momentum returns at a significant inflection point. We're pleased that Q1 has higher subscribers than Q4. And then of course you will add-on Busuu and Busuu is growing. So, at the moment, if you look at it year-over-year the U.S. market is the one that declined the most because that's where the million plus students left the market. And Chegg, we have very good penetration. So, that's, hundreds and hundreds and hundreds of thousands of subscribers that we otherwise would have gotten had they been participating in higher education market. So, at the moment we're just looking at Q1 grew more than Q4, then you add on Busuu. Now as to when we expect it, look clearly forecasting is not something that is easy to do right now. And that's why two of the last three quarters we're having these conversations. But our expectation is given when you lap COVID and lap all these things that 2023 will be a much better year. But I'll let Andy talk through that.
Andy Brown: No, I think, you got it, Dan. And, and to Dan's point, we were somewhat north of a 100,000 more subscribers in Q1 than we were in Q4. And we look at that as good news. And to Dan's point, I think, hopefully by the time we get to 2023 there is more predictability and higher growth, but we're just at a point in time as Dan mentioned.
Jeff Silber: Okay, great. Thanks so much.
Operator: Thank you. We have next question from the line of Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: Hey, thanks. Can you just talk some about the competitive environment? I guess, have you seen anything change there as you look back over the last few quarters for your core solutions? And how confident are you that the slowdown you are seeing is due to industry headwinds versus either – are just competitors gaining traction with higher education students?
Dan Rosensweig: Yes, look, we're in a unique position, which is despite all this tumble, we're still the only company in our sector that is profitable, and has cash and produces free cash flow and frankly grew 14% in the first quarter. So we sit at a position that allows us to see a lot of the industry in ways that others can’t. We also as you can imagine there’s a lots of folks in our industry who are struggling. And you can see that in a few public companies, but we get a chance to get inside the companies of a lot of private companies, for reasons that you can imagine as we survey the landscape. There is no competitor that we have seen and we have seen most of them that is gaining any traction on us. This is not Chegg losing. We believe actually Chegg is gaining share. And the simplest statistic that you can all look at is just looking at and it’ll be on our website, the traffic site that shows what our traffic has been during this period to what others have been. And you can see that the others have declined significantly more. So no, I don’t think it’s a competitive issue. And of course, it’s the first thing we check. We look at our own execution; we look at our own operations. It’s a top of the funnel issue in the U.S., and it’s a pricing opportunity outside the U.S. all things that we’re working on. So, we wish we weren’t in this situation. We didn’t cause this situation, we have to deal with this situation and we are. But again, the company grew 14% and on top of that we continue to produce profits and profitability and get stronger as an entity. And we’ll emerge from this even stronger because we have greater resources than any of our competitors do. And so we have the opportunity to continue to invest in future growth, like skills, like the International business. So again, not a place that we enjoy being, but we’re going to leverage the advantages we have and continue to disconcert ourselves from our competitors, not the other way around.
Stephen Sheldon: Great. Thank you.
Dan Rosensweig: Yep.
Operator: Thank you. We have next question from the line of Ryan MacDonald from Needham. Please go ahead.
Ryan MacDonald: Hi. Thanks for taking my question. Dan, sorry to keep harping on the subscriber counts, but as you look at fourth quarter to first quarter, you are up minus – I think 132,000 subscribers, sequentially. As we think about domestic versus international, you showed pretty strong growth internationally. Is it safe to say that those rates kept up in first quarter over fourth quarter? And that the majority of those losses were domestically. Just curious if you can give us any more color, I guess, on that sequential increase what the moving parts were there?
Dan Rosensweig: Yes. Look, I think if you were – we’re not going to give out the specific numbers for obvious reasons. But what I would say is that the U.S. market is challenged more than the international market. The international markets are continuing to see really strong growth. The U.S. markets are seeing headwinds as it relates to subscriber growth. But positive growth in terms of revenue and ARPU, which is something that we talked a lot about, which is the acceleration of our audiences taking Chegg Study Pack over Chegg. So in the short-term, we’re focused on increasing the revenue and the ARPU of the U.S. market until it comes back. Outside the U.S., we’re focused on growth – subscriber growth. So I would look at it in all the different angles, including subscriber growth. But for us its revenue and ARPU growth in the U.S. is our focused in the short-term, while it’s a subscriber market share growth outside the U.S. So hopefully that clarifies.
Ryan MacDonald: Yes. Great. Thanks for the color there. Shifting to Busuu. Obviously great to see the business sort of fully integrated now and that sort of now starting to contribute to the subscriber side of things. As you look at the integrating those businesses from a go-to-market perspective or marketing to that existing base, are you changing thoughts at all about how you’re focused on sort of increasing sort of Busuu’s brand presence or awareness within the core Chegg subscriber base? Thanks.
Dan Rosensweig: Yes. So we’re accelerating our efforts. Look, Busuu is a very good company and its growing at a very good rate. It’s got a very good management team and our vision always was to continue to invest in it outside the U.S. and continue on its growth path, which has been very strong. But bring it into the U.S. and bring it into the U.S. through our audience initially. So we know that 55% of our U.S. audience wants or needs to take a language. We also know that they don’t know the name of Busuu, so it’s like 3%. So we have very aggressive ambitions for the rest of this year to get the name recognition up because everybody knows the other language companies, which are good companies. But our audience should know Busuu and therefore should buy Busuu. And interestingly enough, when our audience is surveyed, the number one thing that they wanted was actually to speak to local language speakers. And that’s the one thing that Busuu has that the other competitors don’t have. So we’re going to be obviously advocating for Busuu to our audience and the differentiation. And we’re seeing early signs of success. But we only close January 13, it’s very early but we bought it for the right – we believe for the right reasons. And we think we’re going to continue to see a really good growth in that company and then profitability from that company next year. So Chegg’s going to be even more profitable next year than this year simply through the investments we’re making. So I’m pretty excited about that.
Ryan MacDonald: Thank you very much.
Operator: Thank you. We have next question from the line of Brent Thill with Jefferies. Please go ahead.
Brent Thill: Good afternoon. Dan, I just I want to see if we can compare, contrast the fall to the spring. And I think in the fall you had a late start, but it kind of came through in the spring. Did you – it kinds of midterms and finals has now settled in. I just want to compare if you can and paint a picture what you see and what the main differences that happened spring versus fall?
Dan Rosensweig: Well, we actually had a very good first quarter. What we’re really talking about here is our outlook for the rest of the year. So overall, we’re really pleased with the first quarter and it was pretty close to our expectations, a couple of million dollars off maybe on their Chegg Services side. And some of that was not the subscriber businesses, some of that was the ad business and some of the other smaller pieces of it. The subscriber business actually did really did well in the first quarter. It’s really just the play through expectations of continuing to see muted attendance at college and muted focus on academic rigor right now. So, we’re just trying to be more prudent about the second half the year based on new information we see, which is the whole purpose of these earnings calls which is to share the changes we see in the market. So I would say that we saw a really good end of Q4 that rolled over really strongly into Q1, which is when we gave our report in February. Now, as we look out and we add things like inflation and then wage inflation, we just think the second half of the year we just want to be more prudent. So it’s a 7% change. It’s not a 25% change. So it is – we think we’re in the ballpark of the things that make sense at this point in time. We’re preparing ourselves to be – to go back to high growth or much higher growth when the market opportunity presents itself. And we’ll even be more profitable as a company then. So I think we’re doing the right things at the right time. We just cannot change the macro condition right now in higher education. And if you look what’s going on with all the conversations about all the different variables in government and all these things, it’s complicated time for higher education. We’re there to support the students and the students that are in the system love us and are using us and are using us in extraordinarily high rates, high retention, low cancels, high engagement, higher take rate for Chegg Study Pack, great renewals. I mean, all the things in our control are doing really well. We need the top of the funnel in the U.S. to come back a little bit and it will and then outside the U.S., we’re seeing great growth.
Brent Thill: I think that’s maybe what investors are trying to grapple with right now. Are you seeing churn rates go higher? Or are you just making the assumption that the macro’s getting harder? You haven’t seen it yet, and you’re just implying in the guide a tougher macro, but you haven’t seen it. That’s what I think everyone’s trying to understand.
Dan Rosensweig: Yes. No, look, I understand that question. It’s fair. We try to approach these things with all the facts that we have at the day we need to report. And we think it’s the number two, not number one. So the core strength of what we do is...
Brent Thill: Churn has not gone higher.
Dan Rosensweig: Absolutely not. Exactly the other way. Absolutely not, on the other way around retention is near record rates. Cancels are near – reduction of cancels is near record rates. That’s like I said, the things in our control are performing extraordinarily well. Once you’re in the funnel, conversions, all of those things really, really, really, really strong. This is a return – we needed to return to the top of the funnel, not what happens in the funnel. And once students come on the Chegg, they stay on the Chegg; they stay the length of time they’ve been staying. And again, if you want the single best example of that, it’s the take rates of Chegg Study Pack being so far ahead of what we ever imagined. That we’re in a situation where that just shows the power and the importance of Chegg to the student. They actually want more of us; just need more U.S. students in, while the international business continues to grow. That answer clearly?
Brent Thill: That was clear. Thanks.
Dan Rosensweig: Okay. Thank you for asking the question that way. I appreciate it.
Operator: Thank you. We have next question from the line of Josh Baer with Morgan Stanley. Please go ahead.
Josh Baer: Thanks for the question. Most of mine were already asked, so just wanted to clarify a few things that you were saying, hopefully get a little more context. So on the Chegg Study Pack take rates being well above expectations, any more – any contacts that you can provide as far as where they are today and where you’d expect them to go?
Dan Rosensweig: Yes. We are – the take rate for Chegg Study since we launched it has doubled. So we don’t want to give where the exact percentages because things can fluctuate in a given quarter. And as we grow countries internationally, the overall number may change a little bit and seems like every little number that is slightly off from what we thought affects things. But it is twice what we thought it would be and it is holding up at those rates and it’s renewing at really high rates and it is both U.S. and international. So that is why you’re seeing really great increase in ARPU each quarter for Chegg Study.
Josh Baer: Okay, great. And then on Busuu, just wanted to check in on how it actually performed so far the contribution from Busuu in the quarter and what you were thinking for the year?
Dan Rosensweig: Yes, yes. So, yes, Josh, good question. So Busuu is performing exactly as we would or at least within the range of what we thought at the beginning of the year? Doing really well and as you know, their business is a combination of both B2C and B2B. The B2B is clearly growing faster and we knew that going in that, but yes, it performing as we’d expected in Q1 came in right in line with what we expected post the close on January 13.
Josh Baer: Okay. Got it. Thank you.
Operator: Thank you. We have next question from the line of Jason Celino with KeyBanc Capital Markets. Please go ahead.
Jason Celino: Great. Thanks for taking my questions. I did want to ask about international. Some of the prepared remarks, you mentioned that you’re currently offering localized content user experiences in several countries. Any other details on what those countries are and maybe did those launches coincide with the start of those school years?
Dan Rosensweig: Well, no. I mean, some of them did not coincide with the start of those school years. So they will be more effective over time. So that’s an excellent point. But the countries that we have local pricing in now, for example, are Canada, Australia, UK, Turkey, Mexico are few examples. [ph] We are testing pricing in eight countries right now. And in those countries, they’re a combination of what you’d imagine, which is ones that are very focused on tech and stem like Hong Kong and really huge countries in terms of population where we’re seeing very high top of the funnel, but not really good conversion because of the pricing. And those countries include obvious places, India, Indonesia, Mexico and places like Philippines and Malaysia, South Africa. These are places where we seem to be attracting a lot of audience and the conversion isn’t what we would want it for yet and that it’s for obvious reasons, which is charging U.S. prices in those countries is not going to yield a great result. But we’ve known that, but now we have the technological capability to change it. So that we have price testing in those eight countries as an example. Also in the prepared remarks, it may have been missed, which was we have our first fully localized app, which is in Turkey. Turkey has been a really great contributor for us. And they have wanted a local app and a local language, and the next one will be in Spanish which will be relevant in Mexico, Latin America, and believe it or not the U.S. So those are all really exciting opportunities for us and we’re investing in them now.
Jason Celino: Okay, perfect. No, that’s a very helpful color. Thanks, Dan. And then Andy, one quick one on the EBITDA margin guidance by kind of exiting the textbook business, I would’ve thought the margin would’ve gotten a little bit better. Is it just timing related from when related to that, or if other investments you’re making?
Andy Brown: No, it’s timing. I think you’ll see the full power of us getting out of textbooks starting in next year. I think you’ll see overall revenue growth rates increase in EBITDA margins increase over time. We’re kind of in a transitional period right now as you can see, in fact, if you need any more details on what’s involved, I think it’s – I think it’s Slide 12 on the investor relations website for those chiming in. So, what find it but yes, but over time clearly we’ll see higher margins as a result of the exit of – not the exit of textbooks, but moving to this model on textbooks.
Jason Celino: Okay. Perfect. Thank you.
Dan Rosensweig: I also think it’s just to note that if you remember that we said, when we acquired Busuu, the Busuu was going to lose about $18 million this year and be approaching break even next year and we’re on a path to do that. And our skills business is moving increasingly faster and faster towards profitability. So our margins will continue to improve over the next couple of years and add that textbook. So we’re really excited about that. We just have great leverage in the model.
Operator: Thank you. We have next question from the line of Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Great. Thanks very much for taking my question. I wanted to ask a little bit about how inflation is impacting your business, seems to make a lot of sense that if wages are going up, that impacts the learn versus earn equation. So not, perhaps surprising that more of your students are spending more time in the work force, and not taking as many classes or perhaps not taking any classes. But I’m curious if you’re seeing any impact from inflation as it relates to just students budgets and price sensitivity. Has there been any sensitivity to price? I’m curious if perhaps you’ve seen any of your users maybe trading back down from the Chegg Study Pack to just the regular Chegg Study membership?
Dan Rosensweig: Weirdly, and look, it’s a very fair question. And we are a must have for students that are taking their academic seriously. You would imagine that that would be a scenario. And we looked at that scenario, but frankly, it’s gone the other way, which is an increasing percentage of people are taking the Chegg Study Pack. So they’re actually paying 1995 versus 1495. So of those that are focusing on their academics this semester, they overwhelmingly as a paid service use Chegg. And of those that are doing it, we’re seeing extraordinarily high take rates that have seen to be sustaining themselves over the period of time. So I think what’s happening is the first part of your description is what we see choices to take fewer classes or wait to take classes that is seen significantly at both community colleges and online schools. And there are four year schools where students take courses, but don’t – but aren’t on a path to graduate in four years, if they’re on a path to graduate. And those are the kinds of folks that are making those choices. Within the spending, I do imagine they’re making other choices with their money, but they’re not cutting Chegg because of that.
Alex Fuhrman: Okay. That’s really helpful. Thank you.
Dan Rosensweig: Yes.
Operator: Thank you. We have next question from the line of Brian Peterson with Raymond James. Please go ahead.
Unidentified Analyst: Hi, this is Jessica [ph] on for Brian. I just have a quick question about the progress with Uversity. So you’ve been talking about, how it’s been doing really great with faculty. I’m just curious about how progress has been on this rollout with the student side of the two side of market, and then also quick follow up. What kind of feedback have you been receiving from content creators and other early users? Thanks.
Dan Rosensweig: Yes, no, fair question. You’re just a little bit early on the timing because we are still acquiring the content now. We’ve not rolled it out to the students in a full manner yet or in actually in a manner at all, except for testing. We are way ahead in terms of the amount of the content the professors are offering way ahead. So there seems to be an incredible desire for professors to support Chegg in helping students learn better through the higher quality content. And so from a professor standpoint, it’s been phenomenal. The expectation is that we will be rolling out the user facing later on this year. In between those periods of time what we're doing with students is we're testing the quality of the content from a zero to five scale and we chose the words carefully there to say that that this was the approved content from approved professors. And on average those are scored between 4.6 and 4.7 out of a five, so there seems to be real noticeable quality in the minds of the students that are part of the test groups, but the actual second side of the marketplace hasn't rolled out yet. Okay.
Operator: Thank you.
Dan Rosensweig: Yes.
Operator: Thank you. We have next question from the lineup of Arvind Ramnani with Piper Sandler. Please go ahead.
Arvind Ramnani: Hi. Thanks for my question. I just wanted to go back to a comment you made earlier that, kind of basically visibility is kind of not very good and it's difficult to, to kind of focused and I just want to make – just clarify if that's what you meant, because if it's difficult to forecast for you guys then how do we forecast sort of sitting externally, but maybe that's not what you meant when you said it?
Dan Rosensweig: I'm not sure what the – what I might not understand the question. Well let me tell you what we said, I think we said...
Arvind Ramnani: In one of the earlier Q&A sessions, you said kind of basically forecasting is, it's kind of, it's difficult to forecast at these with kind of top of the funnel movement. And I just wanted to kind of double click on what, what do you mean by that? Like is it forecasting really difficult in this, just with the top of the funnel movement?
Dan Rosensweig: Yes. Look inside the funnel we are seeing near record numbers, if not record numbers for all the things that once the student is in. That's easy to forecast. What's hard to forecast is particularly in the U.S. and then when COVID closes down places in Asia and other things like that, it's hard to know those things. And then the, as Andy mentioned in his prepared remarks the inter quarter behavior of when school start and when they offer midterms and when they're doing finals, all those variables are affected by a whole host of things that really have not affected higher education until COVID. And so now we're sort of working through what those changes are, and so that changes a little bit of the timing and when people come in and some quarters are coming in earlier than we thought, which is good news, and other quarters are coming in later than we thought. So these are just all variables that affect our ability to forecast. And we wanted to give a 2022 guidance so we did, and we just wanted to put it more in line with things that we're concerned with, but have yet to happen in the second half the year.
Arvind Ramnani: Okay.
Dan Rosensweig: That was the question that we asked earlier, which is, are we seeing it? The answer is we're not seeing any erosion in any of the things that we can control. We're seeing really great results from those. We're just imagining the second half of the year given every one of these variables and then the election is coming up. It's just there are so many things going on that may affect the day-to-day lives of students and the choices they made that are just not in shakes control at the moment, that's all.
Arvind Ramnani: Great. Great. That's perfect. Thanks for clarifying that. And then just very quickly on the free cash guide. I know you've provided free cash guide when you provided guidance; how should we think of free cash guide just given the revised numbers?
Dan Rosensweig: Yes. Well, we haven't changed our free cash flow guide and we've set them for many years, quite frankly, it's in that 50% to 60% range. We were a little higher than that last year for a variety of reasons, but we would expect to be in that range.
Arvind Ramnani: Okay, perfect. Thank you.
Operator: Thank you. We have next question from the lineup of Alex Paris with Barrington Research. Please go ahead.
Alex Paris: Hi guys. Thanks for taking my question. Most have been asked and answered. But I'm looking at Slide 12 for the required materials transition and just so I understand it. And then – and then looking at the guidance and the implied guidance, required materials produce revenue of a little over so $17 million in the first quarter. It looks like midpoint of guidance suggests $5 million in the second quarter and less than $8 million in the second half, so a total of $30 million for the full year. BBA has taken over text – print textbook first, but eTextbook book not till later this year. So what is the $5 million in revenue is that, that single-digit commission percentage in the second quarter?
Dan Rosensweig: Yes. Well it's a couple of things and it is a little – it is a little crazy or whackadoodle as I will call it. With respect to required materials this year, it's a combination of things we still have deferred – we have some of the deferred revenue from the eTextbooks that rolls through into Q2. We do get a small amount of commission because as you know, Alex textbooks aren't very large in Q2. And then as we roll into the second half of the year all of – well, actually all of our physical textbooks are now on that that percentage and then towards the end – latter part of the year, the eTextbooks will. So it is a little, like I said, it’s a little whackadoodle but, but once we get through to 2023, we expect it to be – it'll be 100% that way and it'll be in that, call it that $7 million to $10 million range depending upon the volumes of textbooks.
Alex Paris: All right, Dan. And then my follow up would be, and then for the full year $30 million in revenue, down from the previous implied guidance of $60 million, but the transition is here. And then next year $7 million to $10 million of high margin revenue is a result of the transition?
Dan Rosensweig: Yes, it's very – it's very high margin. I mean, if you go to this, once again to the Slide 10 it's a very different construct from when we had the last commission business with Ingram, right? We were doing a ton more things, during that we were setting the catalog, we were doing the pricing, we're doing the marketing, we were doing the customer support, we are doing none of that this time, right. That all being done by our partners, so it's really kind of like an affiliate and high margin – high growth margin is to your point.
Andy Brown: Yes. Non-model perspective, we want to offer textbook rentals to students because had Chegg not invented it publishers would still be taking advantage of students in a very significant way. And 25% of tuition when we first started was the cost of textbooks, which is ridiculous and unfair. So we invented that model and we said way back then that we were going to convert the company from a textbook rental company to a pure digital company being so serious of support services for students on a global basis and that's what we've done. And I just as we think back through this, when we went public eight years ago, we had about $20 million in digital revenue. And now we're talking about three quarters of $1 billion in these businesses over the last eight years. So we're very excited about what we're doing, but the textbook business, we want to continue to make it available to students as a service to them, not as something that represents any real value to us as a company anymore in terms of either revenue or profits, but it will be higher margin business, and none of the issues that we had to deal with in the past. So this is sort of our exit strategy from a business that has been declining for the last couple years. So once it's done, it becomes a fixed number, small percentage of our overall revenue, our growth rates go higher, and we're excited about entering that next phase.
Alex Paris: Great. Well, thank you both. I appreciate that additional color.
Andy Brown: Yes.
Dan Rosensweig: Thanks Alex. Thanks for the question.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I'd like to turn the call back to Dan Rosensweig, Chairman and CEO for closing remarks. Over to you, sir.
Dan Rosensweig: Thanks everybody. It's been a complicated year for people to run companies, for you guys to forecast companies. We appreciate how hard you've been working along with us to figure these things out. The good news about Chegg is the upside is – is still quite significant. The international growth, the skills growth, the movement from Chegg Study to Chegg Study Pack, and increase in ARPU that we had a lot of growth factors ahead of us. This is going to be a difficult transition year versus what we all would've hoped. But the good news is our adjustment is simply the macro conditions, not anything that we're seeing at the moment, and it's only a small change in the guidance. And it's us just trying to be prudent with what we see and what we feel going on in the current market. But the future at Chegg is going to be huge and we're excited, and we just appreciate you all joining us. Thank you. And also I want to congratulate Andy, who became a grandfather this morning. So one more future Chegg customer to put into the subscriber base. Thanks everybody. Talk to you soon.
Operator: Thank you very much. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.